Evan Gappelberg: This is the beginning of what I believe will be a long and powerful exciting journey. And so it's way bigger than just this quarter. The global events industry is transforming. AI is the thing that's transforming it. We are at the forefront of that. It's reshaping how enterprises connect, engage and communicate. And we're really just getting started, Steve.
Steve Darling: Welcome back inside our Proactive newsroom. And joining me now is Evan Gappelberg. He is the CEO of Nextech3D.AI. And Evan, good to see you again. How are you?
Evan Gappelberg: Great. Great to be back, Steve.
Steve Darling: Yes. So the company out with your Q3 2026 numbers and Evan, just off the top, very strong numbers. I imagine you're pretty happy with what you're seeing.
Evan Gappelberg: I am. And I just want to address our shareholders because let's be honest, a lot of companies didn't make it through this last bear market cycle. We did. And not only did we survive, but we came out of it stronger, leaner and more focused and more determined than ever. While others were pulling back, we kept on building. While the market lost faith, we stayed committed to our vision. And now, Steve, with 59% revenue growth, with 95% gross margins, which is unheard of and accelerating enterprise adoption, I can feel the shift, you can feel the shift. I think our investors can feel the shift that this momentum is very real, and this is the beginning of a powerful new growth curve for Nextech. And again, as we go forward, we're looking at even better growth in the quarter ahead. This quarter, Steve, really marks a true inflection point for the company. It wasn't just a strong quarter. It was an inflection point. And it really signals, I think, to the market and especially to me that this is real and that we have emerged from this bear market over the last couple of years, leaner and stronger than ever.
Steve Darling: Let's talk a little bit about those numbers. You mentioned 59% revenue growth. Talk to me a bit about where that revenue is coming from and how you look to improve on that in the coming quarters to come.
Evan Gappelberg: Yes. So as you mentioned, it's not just the 59% revenue growth, that's huge. But we also showed 20% sequential growth, which means quarter-over-quarter, and record gross margins, all at the same time. That's a very, very powerful combination. And what you're seeing is the beginning of a new sustained growth curve as our unified AI Event platform gains real traction in the enterprise market. And let's just be clear, Steve, this is about enterprise, enterprise, enterprise. Enterprise deals are the big deals. These are the deals with the Googles, the Meta, the Microsofts, the BNP Paribas, which we mentioned. So this is just the beginning of a much larger acceleration. We're still in the early innings. The momentum we're seeing is just the start. So our pipeline going into the next quarter, which we're in now, we're already halfway through is larger, stronger and more enterprise-focused than at any time in our history, except maybe back in 2020 during COVID, which was like a 1 in 100-year thing. So you can't really look at that, but we expect next quarter to be even better. We expect the quarter we're in to be even better than this quarter with accelerating platform adoption and a growing number of high-value enterprise deals. So to answer your question, it's a platform strategy. The revenues coming from all of our businesses, it's working exactly as designed, Eventdex, MapD, and Krafty Labs, although Krafty Labs wasn't even in this quarter. This quarter was not including Krafty Labs. This was just Nextech with Eventdex. And even with Eventdex, it wasn't for the full quarter. So enterprise is the main event. One platform is the main event, and the best is still about to show up in the quarter that we're in and the future, Steve.
Steve Darling: Yes. Just on that Krafty Labs, that was my next question was really about that and that it wasn't included in this yet. They come into the company already generating revenue. So it sounds like it's in a good position as the company moves forward.
Evan Gappelberg: Absolutely. Krafty Labs is a very, very exciting acquisition for us. It's the second acquisition we've made in really just over a quarter. So as we rolled into the end of 2025, we acquired Eventdex and then January 2, we acquired Krafty Labs and Krafty Labs is gaining enterprise adoption rather quickly. We have some really big news coming on Krafty Labs in the coming weeks ahead. Krafty already has hundreds of Fortune 1000 companies, Google, Microsoft, Meta, Netflix, General Motors, BNP Paribas. These are existing customers. And so these global companies really validate the technology and help build trust around the Nextech ecosystem. And really, that's what we're building. It's -- when you get into an enterprise deal and then we expand that into our ecosystem, and we're seeing that starting to take hold where there's a much, much larger multiplatform opportunity that we're starting to just take advantage of.
Steve Darling: So Evan, I guess the message you're trying to send everyone is that you're seeing momentum and you want people to understand the momentum of the company?
Evan Gappelberg: Yes. I mean the message to our shareholders really is thank you for your confidence. Thank you for your support, for your long-term belief in our vision. We are entering a new phase of scalable, high-margin growth, and we're just getting started. As the CEO, but also as the largest shareholder and someone who believes deeply in what we're building together, this quarter really wasn't just another financial report, and it shouldn't be seen as that. It was a clear signal that Nextech has turned a corner, and we're stepping into a completely new phase of growth, 59% revenue growth is a huge achievement. But what matters most isn't the numbers themselves. it's really what it represents. They represent proof that our strategy is working. They represent validation from some of the biggest companies in the world. They represent momentum that is now building faster than ever before. So this is the beginning of what I believe will be a long and powerful exciting journey. And so it's way bigger than just this quarter. The global events industry is transforming. AI is the thing that's transforming it. We are at the forefront of that. It's reshaping how enterprises connect, engage and communicate. And we're really just getting started, Steve. And in the next couple of weeks, we're going to be unveiling the next-generation platform for our investors and stay tuned for that.
Steve Darling: All right. We'll leave it there. Evan, thanks so much. Good to see you again.
Evan Gappelberg: Thank you, Steve.
Steve Darling: Evan Gappelberg, the CEO of Nextech3D.AI.